Operator: Good day and welcome to the TravelCenters of America Second Quarter Financial Results Conference Call. This call is being recorded. At this time for opening remarks and introductions I would like to turn the call over to Director of Investor Relations, Ms. Katie Strohacker. Please go ahead.
Katie Strohacker: Thank you. Good morning and thank you for joining us everyone. We’ll begin today’s call with remarks from Chief Executive Officer, Tom O’Brien, followed by remarks from TA’s Chief Financial Officer, Andy Rebholz, before opening up the call for questions. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, August 06, 2015. The forward-looking statements and their implications are not guaranteed to occur and they may not occur. TA undertakes no obligation to revise or publicly release any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in these forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the SEC that are available free of charge on the SEC’s website at www.sec.gov or by referring to the Investor Relations section of TA’s website at www.ta-petro.com. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today’s conference call is strictly prohibited without the prior written consent of TA. And with that, I will turn the call over to Tom.
Thomas M. O’Brien: Good morning everybody and thank you for joining our call. I’m going to discuss a few highlights of our second quarter which was filled with significant activities and provide an update on our growth and then I'll turn the call over to Andy for a more detailed look at the financials, before opening up the call for questions. Adjusted EBITDA and EBITDAR for the quarter declined by $3.3 million and $3.7 million respectively principally due to $2.8 million decrease in gross fuel margin as well as expenses related to our acquisition program and expenses related to integrating 47 new sites acquired during 2015 first half. The change in fuel margin was the result of a decline in margin per gallon which is only partially offset by 3.4% increase in total gallons sold. Net income in total and on a per declined as well principally as a result of an accounting loss on extinguishment of debt, but on a pro forma basis excluding the debt extinguishment costs our net income was $10.1 million or $0.28 per share for the 2015 second quarter. While the decline in fuel gross margin, acquisition and integration costs and of the accounting effects of the HPT transactions created noise in the second quarter. Operational highlights as well as internal and external growth related items continue to be sources of excitement for our future. Our transactions with HPT during the quarter have at least three significant positive messages. First the culmination of those transactions is a representation of the value created by TA's acquisition and operational programs over the past years. There were $228 million of sales to HPT completed in the 2015 second quarter and the related deferred gains totaled $113 million. I believe these gains provide one bright line measure of our ability to create value. Second, the transactions with HPT are expected to provide substantially all of the funding we need to close not only the acquisition transactions we have announced, but also to provide funding for development of five new travel centers in locations key to our network. Third, the transactions with HPT have extended our rights to operate the related travel centers to at least 2056 a period extending far beyond the previous lease end date in 2022. Turning now to the operational highlights of the 2015 second quarter, I think there are several important points to make. We've achieved positive same store-fuel volume growth 1.1% despite the fuel efficiency headwinds that pervade our industry. Our expectation for fuel margins for the second half of 2015 continues to be more in line with the 2013 second half than with the extraordinary results of the second half of last year. Our 2015 second quarter fuel gross margin was $0.18 or $0.1.2 below the second quarter of 2014 and $0.8 per gallon higher than in the second quarter 2013. We believe the 2014 result is a solid one in light of the commodity price increases that occurred particularly during the first two months of the quarter. I will tell you too that our strongest fuel gross margin per gallon month during the quarter was in June during which commodity prices actually decreased. We achieved same-store nonfuel sales and margin growth of 6.2% and 8.4% respectively. That same-store nonfuel gross margin growth coupled with tight control of site level operating expenses more than offset the decline in same-store fuel gross margin. We achieved these nonfuel results by focusing on continued improvement and from a number of other avenues including our continued commitment to regular maintenance and site improvements that included remodeling and refreshing of 37 restaurants and 18 travel stores and through expanding customer amenities and services at existing sites including the addition of five new quick service restaurants and four new truck service facilities all during the first half. Other notable areas included our RoadSquad OnSite offer and Reserve-It parking which continue to be among our fastest-growing recent initiatives. Turning to new site activities, first in the convenience store area, mostly late in the first quarter we acquired 26 convenience stores for $38.7 million in three separate transactions. In late April, we acquired 19 convenience stores for $27.6 million. We expect rebranding and refurbishment of these 45 stores to include the addition of food services and our private label food and beverage offers, gasoline rebranding and correction of deferred maintenance that existed in some of these sites upon their acquisition. About half of this work was completed during the second quarter. Also as of today, we've acquired since the end of the 2015 second quarter we agreed to acquire 123 additional convenience stores for about $230 million in six separate transactions. In addition to our rebranding of these stores as Minit Marts we expect to add prepared on-site food offerings at many of these stores and rebrand the gasoline at about half of them. Our capital improvement plans for these are not expected to be as extensive on average as our efforts for the 45 stores acquired during the first half of 2015. While acquisition and integration costs for sites recently acquired depressed our second quarter EBITDA somewhat, we continue to expect stabilized contributions from these sites to be reached before or around the year-end 2015. Assuming that all of the acquisitions I just mentioned ultimately closed our convenience store portfolio will have grown from 34 locations principally in one state at the beginning of the year to over 200 locations in 11 principally Midwest states . Our expansion into the standalone C store space leverages our experience operating large, modern convenience stores and I continue to believe that we're investing at attractive, stabilized multiples for acquired sites. Moreover I believe we have also leveraged the growth in our convenience store portfolio to deepen our relationships with a number of existing and new fuel suppliers. TA is a National Jobber for the gasoline brands of six major oil companies and our convenience store operations are consistently rated in the top decile of those brands. We have also begun rebranding the stores in our travel centers to the Minit Mart brand with two completed and an additional 15 under way or in the planning stage. At the travel center in unit growth we've acquired or agreed to acquire three travel centers so far in 2015. Our new build travel center development activities in Colombia, South Carolina; Hillsboro, Texas and Pioneer, Tennessee are expected to deliver in the first quarter 2016, while Wilmington, Illinois during the first half of 2016 and Quartzsite, Arizona will follow near year end 2016. Looking forward to the balance of 2015 we expect to close on the sale and lease with HPT of two owned travel centers and certain assets we own at one other through $51.5 million not later than December 31, 2015. This leaves the sale and lease of the five development properties I just mentioned which we expect will be sold as each is completed. I also expect continued ramp up of our recent acquisitions and continued increasing contributions from the earlier mentioned truck service parking and another initiative. Now Andy Rebholz, our Chief Financial Officer will point out a few financial highlights.
Andrew J. Rebholz: Thank you, Tom and good morning everybody. I'd like to make some more detailed comments about some key financial results for the 2015 second quarter. We've reported adjusted EBITDAR of $93.3 million for the 2015 second quarter a decrease of $3.7 million or 3.8% versus the EBITDAR for the 2014 second quarter. Adjusted EBITDA of $40 million for the 2015 second quarter was $3.3 million or 7.6% lower than in the 2014 second quarter. We reported net income of $3.8 million for the 2015 second quarter, a decrease of $9.9 million versus the net income for the 2014 second quarter. The decrease in adjusted EBITDA over the prior year quarter primarily was driven by $2.8 million decrease in contribution from fuel gross margins. On a same-site basis, our 2015 second quarter fuel gross margin decreased by $4.6 million or 4.7% versus the comparable 2014 quarter. Our per gallon fuel gross margin decreased on a same-site basis by $0.1.1 per gallon to $0.18.1 per gallon largely attributable to commodity pricing. We believe our positive same-site fuel sales volume results indicate that in the second quarter 2015 we grew our fuel business despite the effective fuel conservation due in part to the success of our marketing and capital investment programs as well as the continued improvement in the US economy. Our nonfuel revenue on a same-site basis during the 2015 second quarter increased by $25.6 million or 6.2% versus the 2014 second quarter. we believe that the increase in nonfuel sales reflects the continued improvement in the results at sites we acquired between 2011 and the first quarter of 2014 as well as the impact of our various customer service and product expansion initiatives. Our nonfuel gross margin on a same-site basis grew 8.4% versus the 2014 second quarter. On the same basis as a percentage of nonfuel sales nonfuel gross margin increased by 110 basis points to 54.8% for the 2015 second quarter primarily due to changes in our sales mix. Our site level operating expenses on a same-site basis increased by $12.8 million or 6.3% versus the 2014 second quarter. This increase reflects the higher volume of sales in the 2015 quarter, but also our operating expense control discipline. All told, the same-site growth in the nonfuel business net of site level operating costs more than offset the decline in fuel gross margin. Our selling, general and administrative costs of $30.1 million for the 2015 second quarter were $5 million higher than in the 2014 second quarter. This increase is primarily attributable to rightsizing our centralized administrative and support functions to appropriately accommodate our recent current and future planned unit and internal growth. At June 30, 2015 we had $370.9 million in cash an increase of $146.6 million compared to December 31, 2014. Thus far in the third quarter we have purchased one travel center and two convenience stores for $7.7 million and we currently have agreements to acquire 121 additional convenience stores for an aggregate of $226.4 million. We also expect to close on the sale of assets to HPT for $51.5 million during the second half of 2015. Those sales and all of the property sales during the second quarter of 2015 have been timed to match up with certain announced acquisitions to qualify them as like kind exchanges for tax purposes. Those like kind exchange mechanisms are designed to defer tax gains that would otherwise be associated with those transactions. And now, I will turn the call back over to Tom.
Thomas M. O’Brien: Thanks, Andy. I would like to make a few additional remarks before we turn to questions. The first key message we tried to get across today is about fuel margin. We don’t expect to repeat in the third and fourth quarters of 2015 of our fuel margin per gallon results achieved in the third and fourth quarters of 2014. While I believe it is possible for us to best those measures from the third and fourth quarter of 2013, as you know, fuel margin can be sensitive to competitive and market factors that are more beyond our control than they are in our control. The second and perhaps more important key message is about ramp-up of newly acquired operations. While we are making acquisitions, acquisition costs will be reflected in our results. During the first half of 2015 we incurred $1.5 million of acquisition costs and completed about $69 million of acquisitions and we have today told you that as of today we have over $200 million of acquisitions or new agreements. I have in the past said that we expect operations at acquired truck stops to be stabilized in three years after acquisition and that our investment as a multiple of those stabilized operating results is expected to be in the mid single-digit range and further that we expect operations at acquired C stores to be stabilized within one year after acquisition and that our investment as a multiple of those stabilized operating results is expect to be in the range of six to eight times. We've disclosed the investment amounts in our filings to help you understand quite specifically what this may mean longer term. As to our SG&A costs, with all of the growth activities we have underway some portion of the increase Andy noted is transactional in nature and if we never acquire another location it will simply go away. That said, I expect much of the increase to SG&A during the second quarter will persist for a time, but you should know that there are few things in there I think we can put a better lid on over time. One final checkpoint for you relates to our transactions with HPT. While we have agreed to cash rents on the net proceeds of about 8.5% per year the significant deferred gains realized from those transactions will impact our net income such that the net increased cash rent from the non-development properties will be offset again for accounting purposes by that annual deferred gain amortization and removed depreciation that in total is about 6% of those proceeds. I hope these comments further clarify that we look forward to an exciting future. And with that, Andy and I will take your questions. Operator, do we have any?
Operator: [Operator Instructions] Our first question comes from the Alvin Concepcion of Citigroup. Please go ahead.
Unidentified Analyst: Hi, this is Edward Wendolin [ph] for Alvin.
Thomas M. O’Brien: Hi, Edward.
Andrew J. Rebholz: Hi, Edward.
Unidentified Analyst: Could you talk a little bit more about fuel gross margin trends that you have seen since the quarter ended, and also if you’ve seen any significant changes in the promotional environment since the last quarter? Thanks.
Thomas M. O’Brien: Sure, in terms of the promotional environment, we'll take that first. I have not seen any significant or new changes in what our competitors are doing, our principle competitors nor have we made any. With regard to our fuel margin performance I think what I can tell you is that obviously product cost has continue to decline somewhat since the end of the quarter. I can tell you that the month of June was stronger than the average of the second quarter 2015. And those things I think bode well, but with almost a full two months to go, a lot can happen in there, but as of right now, we are looking at something that’s above the second quarter of 2015.
Unidentified Analyst: Okay, thank you very much.
Thomas M. O’Brien: Sure Edward.
Operator: And our next question comes from Ben Bienvenu of Stephens Inc. Please go ahead.
Ben Bienvenu: Yes, thanks, good morning guys.
Thomas M. O’Brien: Hi, Ben.
Andrew J. Rebholz: Good morning, Ben.
Ben Bienvenu: So, just touching on the SG&A and site level expenses, I appreciate the commentary there, can you give a little bit more color or try and quantify the degree to which increased staffing integration may be played into those increased costs, do you have a sense for what that amount might be?
Thomas M. O’Brien: Sure, probably the cleanest way to look at it is to note the investments and planned improvement dollars that we disclosed in those tables and apply the multiples that I have talked about. That removes all of the noise. Specifically though, getting to your question, there is two parts of that or three. One is in the acquisition cost, which is right on the face of the financial statement so you can see that. Some is in the SG&A and you know probably in that SG&A line call it $1.5 million to $2 million, it can be attributed to the build out of what is really a platform at this point for C stores given the sort of the step functioning and growth in that area. And in the operating cost, training and those kinds of integration costs probably amount to about $1.5 million to $2 million in the quarter.
Ben Bienvenu: Okay, that’s very helpful. Thank you.
Thomas M. O’Brien: Okay.
Ben Bienvenu: May be staying on the C store trend…
Thomas M. O’Brien: Yes.
Ben Bienvenu: You guys have been successful in monetizing your developed TravelCenters, as it relates to the C stores, do those service potential candidates for sale lease back down the road, what are your thoughts there?
Thomas M. O’Brien: Yes. Absolutely, I think the vast majority of the C stores that we purchased and have under agreement, I think it is 203, a couple of dozen of those are leased, but on very long-term leases and the rest are we own the fee as real estate goes they serve as a store of potential future liquidity as do the 32 truck stops travel centers that we own today. So, there is a long way of answering your question, yes.
Ben Bienvenu: Okay, great. And then lastly, may be bigger picture, there has been talk around potential ELD mandate coming in for E-Logs, I would be curious to get your thoughts on how you think that might impact your volumes in your nonfuel business if that were to go in to place and be rigidly enforced?
Thomas M. O’Brien: Well, it’s interesting because I can tell you that with every regulation that has been thrust upon the truck driving community we TA has found a way to adapt our multifaceted businesses to help the customer. And when patterns change, that typically creates opportunity for us because again we have so many facets to our business. So, electronic logs or drivers in fact are in pretty wide use for most of the largest fleets out there, adoption of electronic logs for everybody and strict or uniformed enforcement may have some impact on traffic and parking patterns. Whether that will be positive or negative is a question that really, it will be positive or negative for those that are affected directly by it. So the customers, but whether it's positive or negative for them we will sure find a way to adapt our business to help us service them in their changed circumstances. So, I am not apprehensive about it from the perspective of our business at all.
Ben Bienvenu: Okay, great. Thanks and best of luck.
Thomas M. O’Brien: Thank you.
Operator: Our next question comes from Bryan Maher of Brean Capital. Please go ahead.
Bryan Maher: Yes, good morning Tom and Andy.
Thomas M. O’Brien: Good morning.
Andrew J. Rebholz: Good morning.
Bryan Maher: Tom, you mentioned in your prepared comment a $0.28 number, is that the number if we were to back out those one-time-ish items?
Thomas M. O’Brien: All that backs out is the extinguishment of debt which is $10.5 million, the tax effective; it comes to $10.1 million or $0.28 a share on the net income per share. If you look at the pro formas that are included in the 10-Q we also adjust for the impact of the sale transactions to HPT and number is about the same, but it works out to $0.27 a share.
Bryan Maher: Okay, that’s helpful. And then another item you know when we wrote about TA in this past quarter we talked a lot about kind of the headwinds of rising WDI and few wholesale in general as potential headwind to your margins for 2Q, but what we’ve seen dramatically in the last five or six weeks is the decline is wholesale including diesel. And I am little surprise to not hear you be little bit more enthusiastic about it, at least the setup for the third quarter and I am curious as to if you are hedging a little bit because there is going to be noise in your numbers for other items as opposed to just if you were to talk about wholesale fuel and the impact on margin?
Thomas M. O’Brien: Fair point. In fact, you’ve detected it correctly, not that we don’t expect noise in the third quarter, but coupled with the decline in fuel prices in the current periods or last couple of months. We have also seen and I am sure you’ve seen reports of what's been termed by some as gluten supply particularly for diesel and while declining price, and that’s the combination of things that I can’t remember the last time we saw that, but the combination of a declining price and the gluten supply will tend to offset. And I don’t want to get too technical, but I think everybody pretty well understands that when our fuel cost declines we tend to be able to expand fuel margins per gallon, and that hasn’t changed. But a portion of our diesel sales are sold on a basis of observable market price plus or minus number of cents per gallon. And the key to profitability on those gallons is for us to buy less then that observable market price which is an average. It’s frankly easier to do when supplies are tight. When supplies are loose or there is a lot of supply it’s harder for us to best the average. When we typically do, it’s just a little bit harder. So, while I am pretty positive about our fuel margin in the third quarter, I am cognizant of these offsetting factors and that is perhaps what you detected me holding back a little bit for.
Bryan Maher: All right, thanks, that’s helpful. And then can you give us any color on any more inroads you might be making on kind of capturing some fleet business possibly from some of your competitors, we haven’t heard about that a little while, can you update us on that?
Thomas M. O’Brien: Say, that on the fuel side, we’ve had some successes probably the last time I talked about them was in the back half of last year. There hasn’t been a ton of significant movement since then. Where we really are making an awful lot of early headway is on the truck service side. Now, truck service, I told you in the past there has been some entrants into in particular the tire business. And frankly, the new equipment purchases of late by our customers are also contributing to that, so the decline and demand from us and for tires. But there are a number of initiatives that are really just taking hold. I have talked in the past about RoadSquad Connect which allows us to provide highway breakdown services anywhere in the country virtually anywhere in the country. And RoadSquad onsite which we staff a box [ph] truck and with our technicians and provide essentially mobile maintenance and inspection services principally to trailers, but not always at customer locations, that is growing very well. In addition, it’s not an initiative in the same light in that it’s not a new profit center for us, but we are finding ways, particularly in the IT area to better communicate information with our key customers on the truck service side. Again it’s IT based, but there is an awful lot of demand for information in a format that we think we can provide and in a way that’s I think vastly superior to most if not all of our competitors. And so where fuel sales are, we have a value-add proposition for our fuel sales, that goes to business efficiency, but it is a commodity and that’s very different from truck service sales which are more of a demanded product by our customers than a pushed product like fuel. Did that answer your question?
Bryan Maher: Yes, pretty good. And just lastly and quickly, are you seeing any change in the acquisition environment out there, specifically as it relates to pricing for the fixed or upper type truck service, truck site that you look for?
Thomas M. O’Brien: No, not agreed upon prices, that’s for sure. I will tell you there are truck stops that are out there that we would like to own, but won’t. I don’t know that our inability to reach price agreement with those particular sellers has anything to do with the market. It simply has to do with the seller's particular position or it will be tax position or what have you, so I haven’t seen an increase in price levels for truck stops or for C stores for that matter.
Bryan Maher: What about some type of creative transaction whereby may be HPT could acquire those properties and issue OP units and then lease them to you and defer the tax gain to the seller?
Thomas M. O’Brien: Yes we’ve looked at that on a number of occasions, but the issue is that’s got to be a better option than your alternatives, and so far we’ve not had to resort to particularly complex structures in order to make what we consider to be very good headway on the external growth front. And frankly if that were the only way to grow by sort of acquiring units it is not entirely clear to me that that could be more attractive than sort of refocusing on levers that we've got to pull internally, adding QSRs or remodeling stores or adding truck service. So, it’s out there. I'm aware of it. I think it would be something that perhaps if HPT were willing that we in HPT could put together probably more easily, we might be the only group to be able to put that together. But it’s just something that we understand and I haven’t thought about it particularly seriously because of the other opportunities we’ve got.
Bryan Maher: Okay, thanks Tom.
Thomas M. O’Brien: Okay.
Operator: [Operator Instructions] Our next question comes from Steve Dyer of Craig-Hallum Capital Group. Please go ahead.
Unidentified Analyst: Hey, good morning, hi, guys its Greg Palmer [ph] on for Steve.
Thomas M. O’Brien: Hi, Greg.
Andrew J. Rebholz: Hi, Greg.
Unidentified Analyst: Sorry to hammer on the fuel margin topic, but just wanted to confirm that sort of your assumptions for fuel margin has not been as strong, is it more due to the supply glut rather than either a change or expected change in the promotional environment, is that the right way to think about it?
Thomas M. O’Brien: No. I think the best way to think about it is, what I am telling you is I believe, again best on today and we are only one-third of the quarter gone by, I believe that we are headed in a direction to be in the third quarter of this year, what we posted for the second quarter of this year. And I wouldn’t characterize those comments as negative. Really what I am saying is that third quarter of last year was exceptional. The fourth quarter of last year was exceptional and while I have some reason to believe that at some point in our future those could be repeated. I don’t have a reason to believe that for the current quarter. Am I making sense?
Unidentified Analyst: Yes, that’s more helpful.
Thomas M. O’Brien: Okay.
Unidentified Analyst: Just turning to nonfuel margins can you just remind us what the nonfuel margins are at the C store level and may be how we should be thinking about that going forward as you add more of those in your results?
Thomas M. O’Brien: I think the best way to think about it is the way that we presented it. Focusing on margin won’t give you what you are trying to get to, focus on margin after site level operating expenses and when I talked about the multiples; that’s the measure I am talking about.
Unidentified Analyst: Okay, got you. And then just last one for us touching on the acquisition of those sort of 121 sites, should we expect that to be completed sort of all at one-time or is that a bunch of separate ones that are going to sort of be completed throughout the year?
Thomas M. O’Brien: Yes, there are six transactions in there. I would say of those three are very close to being ready to go in the late August, September timeframe, another one behind that and two others and by the way those three are the largest of the 123, two others that total I think 18 sites likely in the fourth quarter if we can hold those deals together.
Unidentified Analyst: Okay, thanks. I will hop back in queue.
Thomas M. O’Brien: Thank you very much.
Operator: Our next question comes from Brian Hollenden of Sidoti. Please go ahead.
Brian Hollenden: Good morning guys and thanks for taking my call.
Thomas M. O’Brien: Hi, Brian.
Andrew Rebholz: Hi, Brian.
Brian Hollenden: I wanted to talk about the current quarter fuel margin, the fuel margin per gallon was down about 6% year-over-year, and just seeing the diesel fuel prices down kind of significantly more than that year-over-year, just I guess little bit more expecting overall a more proportion increase, so can you just talk about what went on in the quarter was got enough volatility to give you guys some extra fuel margin there?
Thomas M. O’Brien: I now understand the note that you put out, what you need to focus on is the movement within the quarter. It doesn’t much matter whether this quarter is lower than the prior quarter, but it’s the change in price during the quarter that can give an indication of the direction that we are headed. And so, for example in the second quarter, frankly while fuel prices were pretty much flat from the beginning of the quarter to the end of the quarter they were down a little bit. They went up for the first two months and down for the last, so that’s the key. It’s the direction of movement within the period you are trying to measure, not the overall level compared to a prior period. You follow me?
Brian Hollenden: Yes, got it.
Thomas M. O’Brien: Okay.
Brian Hollenden: And then just talking one follow up on the C store acquisitions that you are doing, can you just confirm what is the returns that you are getting there based on your acquisition prices?
Thomas M. O’Brien: So, we talk about six to eight times multiple, right. I mentioned that few times. So when you look at the total investment to our purchase price plus what we expect to incur in terms of fix up and I think on the ones that we acquired during the first half was 60 some odd million, we'll probably put about another 20% fix up cost into those. And while I am at it, for the sites we've got under agreement the $230 million some odd is closer to 10%. You take that total and divide by the multiple of six to eight times that, what you get is what we expect our total margin less operating costs from these operations to generate.
Brian Hollenden: Right, thank you, that’s helpful.
Thomas M. O’Brien: Okay.
Operator: Seeing no more questions, this would conclude our question-and-answer session. I will now like to turn the call back over to Tom O'Brien for any closing remarks.
Thomas M. O’Brien: Well, I just want to thank everybody for their time and for listening in. It was a complicated noisy quarter and I think on balance we’ve got a ton of good stuff going for us and I am looking forward to talking to you this time next quarter. Thanks a lot.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.